Operator:
Sergio Gámez: Santander First Q 2018 Earnings Conference Call Webcast Presentation. As normally we do, our group CEO will address the group performance for this first quarter of the year. Our group Chief Financial Officer will address in more detail business areas performance, again for the first quarter and, obviously, our CEO, just ahead of the Q&A session, with conclude the presentation. With no further delays, José Antonio, the floor is yours.
José Antonio Álvarez Álvarez: Thank you, Sergio, and good morning to everyone. Thank you for attending this first Q results presentation. The first area I want to share with you is that we are well on track to reach our targets for 2018, the targets we established almost three years ago. This is the first year that I want to tell you. The year, I will say, started with making good progress in our commercial transformation. Our commercial transformation, as you say - as you know, we put out the emphasis in growing both the loyal customers and the digital customers and we are progressing well in this regard. At the same time, the customer satisfaction and the operational excellence, that is a combination of cost, income and customer satisfaction is progressing well. We are able to translate this good behaviour on the customer side into results. As you see in the numbers, we are - the profit year-on-year grew 10%, 22% in constant terms. If we exclude the perimeter, probably - the Popular, probably we are growing in constant numbers at around 15% and with group progress compared with the previous quarter and the previous year. As a result of this, our return on tangible equity is 12.4%, and we are generating - we are strengthening the balance sheet, generating capital. We generate organically in the quarter 9 basis points. I will elaborate later on. As the Chairman said in the AGM, our intention is to increase the dividend for this year and we changed our policy. We announced that we plan to change our policy for 2019 going 100% cash dividend. Well, as I said at the beginning, we are confident to meet our 2018 targets. And I will say Popular integration is on track. Legal integration was approved yesterday by the Board. We expect to execute by the fall, to be execute the legal integration. In the numbers, you will not find specific Popular numbers. We were discussing internally to provide or not to provide numbers. The numbers are not representative as long as we did some integration steps, particularly we already integrated headquarters. As you know, we reduced 1100 employees back in February as a result of the headquarters integration. We already integrate GCB business as long as we have Popular Portugal. In Portugal, total bank and - was very difficult to make a comparison. So what we are providing is a set of numbers for Spain that includes Portugal and the former Santander Spain - Popular Spain and the former Santander Spain. Also, Quasar, what we call Quasar, that is the disposal of real estate assets, was executed at the end of the quarter. Going into the numbers into the first area I was telling you about, loyal customers and digital customers are growing well. And the customer satisfaction, we are top three in customer satisfaction in seven countries, and we are progressing in the main markets in which we operate. We are top in class in this regard that we're having translated into the three areas we also showed to you in the year-end result presentation. We are growing. We are growing in loans and deposits. It's true that there is some change in perimeter here, but we are growing in almost all the markets in both deposits and loans. As a result, customer revenue grew 12%, which translate into double-digit growth in profit and higher profitability as we show by the return on tangible equity, is the highest in the last few years, and we expand the balance sheet with a fully loaded core equity Tier 1 reaching 11% and the NPL ratio, the credit quality going in the direction we were expecting to go and we were telling you in previous quarters. When it comes to the P&L, well, first thing is - there is no known recurring items in the quarter, not neither nor positive, neither positive nor negative. The good performance, there is some perimeter effect, I already told you, is Santander as management plus Popular. On the other hand, there is a significant negative impact on the exchange rate of between 10 and 12 percentage points on the P&L. You have the numbers there. The quarters show a profit of north of 2 billion, significantly higher than the previous quarter. Well, I'm showing good progress in constant terms, both in net interest income, net fees that are well in double-digit. So the customer revenues are growing double-digit. As long as the net loan losses, the provisions, we are growing a little bit but well below what is the growth of the loan book, so the cause of risk is falling. Other income provisions that has significant fall is - comes from the fact that in 2017, we had no restructuring in Brazil. As you know, normally, when you do some reduction in employees in Brazil, it comes one year later, this cost, and this was not the case in 2017. That's the reason why this line falls significantly compared with the previous year. When you go through the lines, consistent growth, I will say consistency is the word that probably defined the best what you would see in the slide. Both net interest income and fee income are growing on a consistent basis while the other income is more or less fairly stable, fairly flattish. The volatility here depends more on quarter-on-quarter than a trend in the business in itself. If we look at the net interest income in more detail, we have two different behaviours. Net interest income growing 11%, 7% in mature markets, 16% in developing markets. When it comes to mature markets, what we have is organic growth, some organic growth plus perimeter, mainly perimeter. And we have a net interest margin pressure due to the extraordinarily low level of the interest rates, particularly affecting some of the business in UK and Spain. When it comes to emerging markets, we are growing organically, mainly organically, both in loans and customer funds. At the same time, we are expanding the net interest margin, both principally in Mexico and Brazil or Brazil and Mexico. So we have these two behaviours. José will elaborate later on, on specific countries, the trends on this regard. Well, I was starting the presentation telling about commercial transformation. This is not just about numbers, number of customers. We translate these growth in number of customers, loyal customers, digital customers into activity growth. The slide shows some numbers in this regard. You see the cards is growing, the insurance is growing and they translate into a healthy growth into the fee income line. The fee income line is growing both in developing and emerging markets and in the different business we have in the wealth management, that is relatively a small portion of the fee income growth. We have this kind of growth because the change in perimeter due to the incorporation of the 50% that we bought last year of Santander Asset Management. So overall, healthy growth in revenues coming from the customers. In costs, you know our target, was through cost/income being in the region of 45% to 47%. This is a combination in cost. We have some integration process going on that reduce normally cost. You have there Portugal. We have there the quarter in Spain. Quarter-on-quarter, the costs are growing down - going down 3.5% and there's more to come, as you know, as integration on Popular make progress and we have other geographies in which we are in a strong investment process. Particularly, we shared with you Mexico, the three year plan in which we have a significant growth in cost. And probably more surprising to you, although this quarter probably is a little bit overstated in the U.K. where the costs grew year-on-year 8%, that we think that is going to moderate in the coming quarters toward more normalized level. Here, we are investing - we are making significant investment in the compliance and digital transformation. So overall, we feel that we are committed in the 45% to 47% target that we have in this particular field. Credit quality, very little to say here other than the coverage ratio going up due to IFRS 9. No worries here. The trends are the ones we were expecting. And no particular reasons here, but Brazil is going in the right direction. Probably some of you were expecting faster fall in the cost of credit in Brazil. But this has significant change in mix there. More, we are growing faster in retail than we are growing and grow our corporate banking and this explains a little bit. But in any case, all the trends in this - in credit quality and cost of credit are growing as we were expecting. Real estate exposure. This is what is left here, 5.2 billion. In all the business in Spain, you have the split of this business, I don't need to repeat again, that our priority is to reduce this to immaterial levels as soon as we can, and we will now continue to dispose assets both on one on one basis or looking for operations to dispose in blocks. But I will say this 5.2 billion start to be almost a no material number in the balance sheet of the business in Spain. Finally, in capital, we reached 11% core equity Tier 1. We have 9 basis points - well, it's around the 10 basis points we guide you quarter-on-quarter. We generate also some capital due to perimeter, the positive coming from the disposal of the real estate assets of Banco Popular, the Blackstone deal, plus 10 basis points. The negative came because we listed Metrovacesa and the change in accounting produced a cost of two basis points on capital. These ratios are calculated according to IFRS 9 transitory calendar. If the calendar had not been applied, we're going to be around 10.8% [ph]. So this is where we should be because the total impact of IFRS 9 is in the region of 23 basis points. We are due to 20. Instead of 20, its 23 is what is the final number. On the right side of the slide, yes, because we have several items there, I want to guide you for the future capital impacts not related with the organic capital. We mentioned that we already know that the coming are pending of regulatory approvals of all the items. You have the total bank disposal that we - and we think that we both - we are expecting regulatory approval. That is five basis points and nine basis points. We have in SCUSA, the supervisor does not consider, according to the European regulation, the entity to be regulated. And therefore, we cannot include this minority interest in capital. In any case, we're up in our core equity Tier 1 of more than 11% in 2018, as we told you in the previous quarters. Well, when it comes to ratios, good developments in the return on risk-weighted assets. We continue to roll the return on risk-weighted assets, almost 1.60. The return on tangible equity accordingly is growing. The EPS this quarter is fairly flat, but if you annualize this, well, we are well on track for double-digit growth EPS in 2018. That is our target. And finally, tangible net asset value per share was impacted this quarter by IFRS 9. Excluding IFRS 9 impact, it had growth from 4.15 to 4.20. So I hand over now to José that's going to elaborate our - through the units, and we will come up at the end - we will come back at the end to make some final remarks.
José Antonio García Cantera: Good morning, everyone. As I always say, we'll cover the main units in a bit more detail and the smaller ones quickly and I will finish with a quick comment on the Corporate Centre. We continue to have more or less 50% of our business in Latin America, 50% in Europe and 50% in emerging markets, 50% in developed economies. The largest - the greatest contributors to our profits this past quarter were Brazil with 27%, Spain, 18%, the U.K. and Santander Consumer Finance, each 13%. Eight out of the 10 core geographies showed an increase in profitability, as you can see on the right hand side of the slide. And in general terms, we saw very strong operating performance in all the economies in other countries. Starting with Brazil. The economy in Brazil is doing much better. It's expected to grow 3% or above this year. And on the back of this strong economic performance, we had an excellent quarter. We launched new initiatives and we gained market share in customers and in credits and deposits. Attributable profit was up 27%. Return on tangible equity also up to 20%, the highest level in many years. We saw double-digit growth in net interest income and fee income, reflecting these greater commercial activity that I refer to. The efficiency improved, also showing greater productivity, and asset quality continue to also improve to 4.35%. Trends all throughout the P&L that we would expect to see in the coming quarters as well. In Spain, the integration of Banco Popular is proceeding as planned. We already completed the integration of the headquarters, and we just announced this morning that we are proceeding to the legal integration in the third quarter, as José Antonio said, which we will - which will probably help us accelerate the operating integration a little bit. We recovered the control of the card business and the ATMs of Banco Popular and launched the first joint commercial initiative between Santander and Popular. It's the 1-2- Profesional account for self-employed and micro SMEs. In just a few weeks, we already have 75,000 accounts open in this product. We saw a positive evolution of SME volumes and corporate volumes. However, Global Corporate Banking and institutions continue to contract. New mortgage production is strong but is still insufficient to compensate amortization of the existing portfolio. Attributable profit was 455 million, up 26%. Positive trends in commercial revenues year-on-year in commercial revenues and cost of credit. Costs were affected, obviously, by the integration of less efficient businesses coming from Banco Popular. Quarter-on-quarter, we see a lower net interest income due to lower average ALCO portfolios. On average, fourth quarter relative to the first quarter, the ALCO portfolio was 8 billion lower and that obviously had a negative impact on net interest income. We saw quarter-on-quarter also slightly higher provisions because of seasonal factors. And costs are starting to show the benefits of the integration process. When we move to Santander Consumer, this is a highly diversified business in Europe and its return on tangible equity of 17% which is very high reflects these very high diversified geographic business. New lending is up 9% year-on-year, with increases in almost all countries and quarter-on-quarter is very much flat obviously because of seasonal factors, the fourth quarter is stronger generally than the first quarter. Profit are up 4% with positive evolution of revenues, although in the case of fee income it was affected by some regulatory pressures. The efficiency ratios is clearly best in class in Europe, much better, much lower than any of our competitors. And we see cost of credit and NPLs at an all time low. When we compare year-on-year, provisions go up because of some asset disposals last year in 2017 in several countries like Poland, Germany, et cetera. In the fourth quarter, we announced integration of our operations in Germany and like in the case of Popular in Spain, the integration of our German operations is proceeding as planned. Looking forward for the rest of the year, we see similar trends to what we have seen in the first quarter. Moving to the U.K. Here, the economy is resilient despite the uncertainty associated with the Brexit process. We see a highly competitive market and the need to invest in regulatory projects like ring fencing, PSD II, et cetera. We saw a pickup in mortgage activity in the first quarter. Our mortgage portfolio went up £1.9 billion, which again shows how resilient the economy is. And on the liability side, we continue to focus on growing demand deposits. We see lower profits year-on-year due to the combination of different aspects. Like José Antonio said, in some cases, these are one-offs. On the revenue side, we see lower gains on financial transactions and also some margin pressure due to competition and the drop in the attrition in the SVR portfolio. Costs included some IT investments, digital transformation and regulatory projects. And in the case of nonperforming loans, we saw two one-off cases in corporate banking. And there were -- in this quarter, there were no PPI charges. Quarter-on-quarter, attributable profit was up 7%, although again we saw pressures coming from the revenue side. And going forward, we would expect a recovery in the year-on-year comparison in net interest income and the cost of risk to remain more or less what it is today, in the region of 10 or slightly above 10 basis points. Going quickly through the rest of the countries, very strong quarter in Mexico with double-digit growth all throughout the P&L. We are investing - as we discussed last year, in Mexico in a very deep transformational plan, which is yielding very positive results in our commercial strategy. The 1-2-3 account in Mexico, as you know, is called Santander Plus, and it has attracted already 3.5 million customers, more than 50% of which are new. So double-digit growth in the P&L with asset quality that is stabilizing cost of risk at around 3%. And again, these trends, we think, should be maintained for the rest of the year. In Chile, we are the leading private bank in terms of loans and number of customers. The Chilean economy is accelerating, and we are benefiting from that. We are seeing positive growth, faster growth in loans and deposits, particularly in consumer credit, mortgage loans and demand deposits. Profits were up 15% based on very strong revenue - total revenue performance. The efficiency ratio and the cost of risk are also improving. Quarter-on-quarter, the results were affected by seasonal factors. Remember that in Latin America generally, the first quarter is where people take their holidays. Sorry. If we move to the U.S., very strong quarter in the U.S. Here, the main focus continues to be to improve our foundations and to close our regulatory - or open regulatory issues we had, very strong results both at the bank and at Santander Consumer. In the case of the bank, improved net interest margin basically because of lower cost of deposits but we are geared towards higher rates. So as interest rates go up in the U.S., we should continue to see this trend being maintained in the coming quarters, and also, in the case of the bank, we saw better efficiency ratio. In the case of Santander Consumer, lower loan loss provisions and also lower costs. When we look at the U.S. as a whole, including all our operations in the U.S., costs were down 1%. As I said, we are positively geared towards higher rates in the U.S. So we would expect to see some of these positive underlying trends materializing and solidifying in the coming quarters. In the case of Popular, sorry, Portugal, the year-on-year comparison is affected by the fact that we had Popular Portugal being integrated into Santander. So the year-on-year comparison is affected by that. Now we are the largest private bank in the country, both in terms of assets and loans, with a leading position in corporates and SMEs. The integration is proceeding as scheduled. We would expect to close it before the year-end. Profits were up 1% year-on-year, but this is affected by asset ALCO portfolio sales and higher tax rates. When we look at pretax profits, profits went up 10%. Moving to Argentina. In the case of Argentina, the comparison is a little bit complicated because in the first quarter of last year, we included the balance sheet of Citibank but not the P&L. The P&L started coming through in the second quarter. So the year-on-year comparison is distorted. Having said that, after the integration of Citibank, we are now the largest private bank in Argentina by credits and customer funds. The stabilization of the economy is clearly helping growth in long-term credit products, in consumer loans, in loans to SMEs. Mutual funds also increased 85% year-on-year, which are all very positive trends, and these are we think sustainable trends that will be maintained through the rest -- for the rest of the year. In the case of the P&L, we see a very strong performance in the upper part of the P&L, but didn't go through because of some one-offs, again, associated with integration of Popular. In the case of Poland, the economy is growing at 4% with very subdued inflationary pressures. On the back of these, we have a very, very strong performance. We're gaining market share, and the upper part of the P&L is performing very well. However, because of lower financial transactions and the fact that the contribution to the Resolution Fund was front-loaded to the first quarter. Last year, it took place in the second quarter, that distorts the numbers. But excluding these one-offs, we see double-digit growth almost all throughout the P&L, which shows again that the bank is clearly taking advantage of the very positive macro environment in Poland. Finally, if we look at the Corporate Centre, net losses were down 10% year-on-year. Here, we have a combination of different trends. On the one hand, we have lower hedging costs, particularly as interest rates have come down in Brazil. Hedging our capital adequacy in Brazil is now cheaper than it was last year. On the other hand, we have had to continue to issue TLAC instruments and MREL instruments, which have increased financial costs. In terms of operating costs, they are broadly flat in the quarter following the simplification measures that we implemented at group level last year. But total cost -- operating costs at the Corporate Centre for Santander are just a bit below 2% of the total for the group, which compares very favourably with all of our competitors. And with this, I'll turn it back to José Antonio for his concluding remarks. Thank you.
José Antonio Álvarez Álvarez: Thank you, José. To conclude this presentation, well, I will make some final remarks. As I started at the beginning, we maintained our clear and consistent commercial strategy. This has been reflected in volumes, fee income generation and better results and increasing profitability. And we are progressing as I said, very well towards our goals that you have in the slide on the right side, and you have what we have achieved so far until now. Let me do - to elaborate a little bit our expectations in coming quarters. In terms of the operating environment is - I would qualify the operating environment as constructive. GDP is growing in all our geographies relatively well. The inflation is under control. Probably we should expect very gradual interest rate increases in the mature markets. Market volatility has increased so far, and probably, we - but probably this is due that the previous one was extremely low and we - when we came back to more normalized levels. Turning to the group. We expect the good customer growth to continue, so are positive in this, increased volume growth with a careful management of the spreads depending on the market. We don't expect surprising great quality other than some potential volatility. As you know, IFRS 9 is the first year we are implementing, maybe some potential volatility there, but nothing relevant. Efficient commercial and digital transformation will continue, and all the integrations we are doing in Spain, Germany, Portugal, Poland are progressing according to the plan. So we should be - in this environment, we should be able to deliver the targets you have on the screen, review all of them. We are close to achieve those targets and probably some of them we are in a position to surpass. In this positive macro environment, we think that we can deliver as solid results for the entire year. And finally, just to remember you that we're going to update you in a more deeper way in our Investor Day in London on the October 3rd this year. And now we remain at your disposal for the questions you may have. Thank you.
Sergio Gámez: Thanks, José, as well. Indeed, we have now plenty of time for your Q&A. [Operator Instructions] Please go ahead.
Operator: Thank you very much [Operator Instructions] Thank you. The first question comes from Francisco Riquel from Alantra Equities. Please go ahead, sir.
Francisco Riquel: Yes, hello. Francisco Riquel from Alantra Equities. And a couple of questions for me. First, on capital, regarding the change in the regulatory treatment of the SCUSA minorities, I wonder if it could not be more efficient to buy out the minorities, if you can share your views with us on this? Second, you are including in the pro forma capital ratios the profit from the sale of the non-core assets from Popular, TotalBank, we think. And I wonder if there is any negative to come, for example, from the winding of the rest of the JVs at Popular, if you can also update on this. And also, a clarification whether the 11% target for the full year, if it is assuming IFRS 9 on a fully loaded basis or not. And if so, how do you plan to offset for the shortfall of the new regulatory headwind, if you - we should expect a faster organic generation or if there would be any asset that could be up for sale? Thank you.
José Antonio Álvarez Álvarez: Thank you, Francisco. The three questions were related with capital, yes. So the first question was about SCUSA minorities and up to what point. There's an arbitrage of capital there. Naturally, there is but we don't have any plan to do anything in relation with this stake. The pro forma capital ratios with the joint venture from Popular, I provide the data of the agreements we already signed. When we made progress in the remaining agreements, we provide you the maybe negatives, maybe positives, depending on the final agreements with the partners in the remaining issues we have - issues, joint ventures that basically is insurance, asset management, and it comes to my mind, in acquiring, yes, acquiring businesses is the other. At the same time, remember that we continue to dispose real estate assets and all the real estate disposal on the other side, probably some capital generation coming from those estates. The 11% target was established before IFRS 9 was established in 2015. Well, our organic generation, we continue as there is no reason this year to not to think that we want to continue to generate in the region of 10 basis points per quarter on average and maybe quarters in which we are generating more, maybe quarters in which we generate less, but this is the average. Probably you ask me going forward and the macroeconomic situation remains, probably we should expect at some point faster growth. And our organic capital generation, if that's the case, will get reduced. But this year, I see to continue with the same organic capital generation.
Sergio Gámez: Thanks, Franco. Next question please.
Operator: Thank you very much. The next question comes from Alvaro Serrano from Morgan Stanley. The floor is yours.
Alvaro Serrano: Hi. The first question is on Spain. Fees and NII were down. You explained the ALCO contribution. But in general, I would expect that maybe fees to be bit stronger given Santander Asset Management was being integrated. So the question is, how's the integration of Popular affecting the franchise. Have you seen more attrition in revenues than you expected before? And the second question is on the U.S. After sort of overcoming some of the regulatory restrictions, there was supposed to be quite a lot of cost-cutting potential in compliance and other sort of general integration of the bank. But the costs are up, and in particular, in the retail bank, they're up quite a lot. So maybe can you give us an update on how's the turnaround to the U.S. going and what kind of profits could we expect this year for the whole of the U.S. franchise? Thank you.
José Antonio Álvarez Álvarez: Okay. First question about Spain, NII and fee income. In the quarter, well, probably, quarter has, as José already elaborated, has some impacts both in NII and fee income. In NII, the disposal of the ALCO portfolio, the ALCO portfolio is much more than it was. And customer NIM is basically flat, and we - I think that we have room for even in a highly competitive market on the asset side to reduce our funding costs, highlighting quarters in this environment that, as I said, is highly competitive. When it comes to fee income, you mentioned a couple of hypothesis of what's going on in attrition, in revenues and all these things. Now this is much more simple than that. We expect for the whole year, including SAM, the asset management, to grow fee income in double digit. And without including SAM, probably high single digit is what you should expect for fee income in Spain. And we - in relation with Popular, we are progressing as expected. Remember that we include some attrition already in our projection, coming basically from the more Global Corporate Banking side in which we've been reducing some positions there as a result of the integration due to our raised appetite in relation with the specific names.
José Antonio García Cantera: U.S. costs.
José Antonio Álvarez Álvarez: U.S. costs. Well, the costs, as far as I know, went down in the quarter.
José Antonio García Cantera: Q-on-Q.
José Antonio Álvarez Álvarez: Q-on-Q, 2% down. And we expect for the whole year negative cost growth in the U.S. But in the U.S., we still have some pending regulatory issues. But overall, in the year, the costs will grow -- will decrease in nominal terms, i.e. expect to decrease in nominal terms. But what is more important probably in the U.S. is we are progressing well in the business model of SCUSA with a being much more predictable. The average FICO is higher than it was. The cost of risk is lower, and our scoring is -- make us more optimistic about the capacity of the SCUSA to generate profits. When it comes to the bank, now our NIM is head-to-head with the competitors for first time in the last two or three years, yes. So we can from very low levels of net interest margin, and we are catching up with our peers in the U.S. So I'm fairly -- I will -- I'm fairly constructive in the bank. In the U.S., mainly, we take into account that we are investing in ADS in which we were weak like the Global Corporate Banking that we are building there. And C&I, commercial and industrial, that we are building the teams there, we built already the teams and we are making some progress in this area. So I'm -- as I said also in the year-end shareholders' meeting, that I am optimistic about future trends in the U.S.
José Antonio García Cantera: If I may just add very quickly, Alvaro. The way to look at cost in the U.S. is to look at the -- at all the operations together because there are services that are provided from SCUSA to the bank and vice versa. So there may be quarters in which there are some movements in between these two. But these are not a reflection of underlying trends. So the way to look at cost in the U.S. is to look at the overall business that we have. And as José Antonio said, costs are down and are expected to continue to go down.
Sergio Gámez: Thanks, Alvaro. Next question please.
Operator: Thank you very much. The next question comes from Sofie Peterzens from JPMorgan. Please go ahead.
Sofie Peterzens: Yeah, hi. Here is Sofie Peterzens from JPMorgan. I had a question on Brazil. We have elections there later this year. What's your view on the Brazilian elections? And do you have -- do you believe it will have any impact on loan growth margins and asset quality. And could you just reiterate and do you still believe that you can reach around 400 basis points cost of risk in Brazil? And my second question was on U.K. NII was reasonably weak, but NIM was flat this quarter. So could you just give us some guidelines on what drove the net interest income weakness? And you also mentioned that you didn't take any PPI provisions in the first quarter, but should we expect any further PPI provisions later in the year? Thank you.
José Antonio Álvarez Álvarez: Okay. The first question in Brazil is what you say is basically absolutely true. We have Brazilian elections in -- presidential elections back in -- well, in October, in the next month of October. Probably it's too early to make an elaboration because we don't know even the -- which candidates are going to have the main parties, the main parties, meaning the parties that are sent to the right, that traditional is the main candidate is probably too early to say. We know some candidates and all the polls are reflecting basically the candidates that are already known. But we don't have a stated strategy in this. But more on that, as José said, the economic situation in Brazil has improved significantly, and we are seeing this in the business. We are seeing more in the retail arena than in Global Corporate Banking and corporate. So we are seeing significant growth in the retail. We are not seeing that yet in the corporate and GCB. How do we expect this to come? But it's not the case still now. As a result of this, we've been growing nicely. We've been increasing net interest margin. And on the other side, the cost of risk, I think it fell one basis point quarter-on-quarter. But you go on a like-for-like basis and you compare the cost of risk by segments, it's falling much faster than that. It's falling both in ECB and in the retail, and we continue to be positive on this regard on a like-for-like basis, although I expect the GCB and corporate to pick up probably. The current dynamic is faster growth in retail. And with this, seek to continue -- the unemployment is falling, the demand for credit is picking up. Their interest rates went down dramatically. So this will help in this space. In the U.K., as you said, as you rightly said, we had a relatively weak quarter. It was a combination of some kind of one-off items. But if I guide you for the entire year, we are betting, we are thinking of this time that we're going to have a relatively flattish NII for the entire year. The fee income, we think that is going to grow in low single digit without taking into account the asset management the change in perimeter, so low single digit. So we -- I would expect that we're going to be able to grow somehow the revenues. And as I've said, I now expect them to be still relatively high or high for our standards, yes. So it's still relatively high, more in the region of 5% probably is what we should expect. As I said, we are investing a lot in -- both in the compliance side and also in the utilization of the bank and this has put -- this is putting some pressure on the cost on top of the inflation. You mentioned PPI, that we did not take any charge for PPI this quarter. We did not. We think it's not needed. Based on the current consumption, based on the stock of provisions we have in the balance sheet and the current consumption of these provisions at this stage. Unless the behaviour changed in a significant way, we think that we don't need more PPI provisions going forward. Unless the behaviour of the -- they changed, that's the case.
Operator: Thank you very much. The next question comes from Britta Schmidt from Autonomous Research. Please go ahead.
Britta Schmidt: I've got two questions, please. Coming back to Brazil, the loan yield increased quite strongly this quarter and net interest income is performing well. Could you help us break it down a little bit, how much of the improvement was down to the mix shift and how much is down to potentially assets with pressure coming from the interest rate environment. And then the second question I would have is in terms of refinancing. Could you give us a little bit of an idea as to how the TLTRO II maturities fit into your refinancing strategy and how you're going to confront this over the next couple of years? Do you intend to replace it with some ECB financing? How much of that do you think will be replaced by TLAC issuance? If you could give us some idea here.
José Antonio Álvarez Álvarez: First question, I will elaborate on the first question, the second one I pass to José on the TLTRO. Brazil, in Brazil, the fact is that we are gaining significant market share across-the-board, particularly in retail. So you look at the number, well, our market share is growing significantly in car lending, where our market share is north of 20%. We've been gaining market share the last two years and we'll continue to gain market share. Also, we continue to gain significant market share even faster than in car lending, in payroll-based lending, what is called their crédito consignado. And those are the two main drivers of the growth of the loan book, the car lending plus crédito consignado. Also, we are growing in mortgages, how to -- starting from very low levels. The production more than doubled but starting from very low levels. So it's about gaining market share in these segments. And we, for this reason, we are growing faster than our competitors there. Let me shift, we are not, in principle, pursuing the mix shift as the demand is still not yet there in corporate where we want to have more exposure and large corporates. But as a result of the, what, the events from the last couple of years, probably still not having a significant demand on these segments. The interest rate you mentioned, also the interest rate environment and the cost of risk, the interest rate environment, as you know, the rates came down significantly. We are -- the balance sheet -- the position of the balance sheet is towards lower rates. So we got some extra push in net interest margin and net interest income coming from this side. But I think that there is not that much, maybe some, still some cuts in rates but not that much to come. Going forward, we cannot rule out some regulatory pressure in here and there, not particularly important. But well, the regulator has been more vocal now than he was in the past in relation with some segments, particularly on the credit cards and the acquiring business.
José Antonio García Cantera: Well, TLTRO, we haven't disclosed the total amounts of TLTRO. But obviously, we are very well aware of the amounts that we have to repay. And at the same time, we have to comply, like you said, for TLAC requirements. We already meet MREL requirements. We were told our MREL requirements last November. And we already meet MREL requirements. In terms of TLAC requirements, we're still pending the treatment of equity participations. If the final treatment of equity participations is equivalent to that of MREL, we are very close to complying with TLAC as well. If it was different, we will have a -- currently, we will have a gap of around 15 billion to 20 billion. Last year, in 2017, we issued 19 billion of TLAC eligible instruments. So the gap is really manageable. And as we issue these instruments, obviously, we are building loans and liquidity that will help repay TLTRO in 2020, 2021. So from a liquidity standpoint, for us, TLTRO, I'm not going to say is almost irrelevant, but clearly has been factored in, in our financial plans. And we don't see it really today. We don't see an issue in being able to repay TLTRO as scheduled.
Operator: Thank you very much. The next question comes from José Abad from Goldman Sachs. Please go ahead.
José Abad: Three questions, very brief, on Spain. The first one is on the integration of Popular. You announced this morning the acceleration of the process. Could you give us an update on the size and timing of branch closures of Banco Popular, whether actually the announcement this morning is changing this in any way? The second is that I think you referred to the Spanish competitive environment as very, very competitive. So -- but is this actually changing towards more competitive lately or to a bit less competitive lately? And we have probably a little evidence of a number of actual local players being a bit more aggressive lately. But I'm not sure whether this is just anecdotal or this is only that you are actually -- that you are actually seeing. And I mean, maybe on volumes, what you are seeing in trends in terms of actually demand would be interesting. And the last thing is actually on Spain is that, obviously, you made this big acquisition. Actually, Banco Popular last year, you are the number -- well, the largest bank actually in Spain, domestically. So could we say that you have no plans -- you are closed for business when it comes to making further acquisitions or you are still open to analyze potential targets if the conditions are the right ones?
José Antonio Álvarez Álvarez: Well, starting first question, Popular integration, we just -- we announced today the absorption of Banco Popular. This is going to take place by the fall, around the fall. There is some anticipation here. Well, as I already said in the AGM, if we establish, in my mind, we have like three steps, the third quarter integration that was already done and it's about to finish, it was agreed with and we executed mainly in February, but still some spending. The second one that is IT and operation that is going on along all the process and the third one that when it comes when the -- we are ready to integrate from a technological standpoint of view all the branches in Spain, Popular branches working on the Santander IT systems. We should be ready by then after -- immediately after the absorption to start to do this integration. This is going a little bit faster than we were anticipating before. But we provide specific details on this in the investor day, specific details of this integration. Spanish competitive environment, well, you've seen like we are seeing some competitors become more aggressive, in particular segments of the market. And we are starting to see this maybe -- we are not. Until now, it's an anecdotal evidence. We don't have more than that. But well, when I see this, probably I'm not so optimistic about we need to be very careful in matching the spreads going forward. But the environment, as I said, is highly competitive. More acquisitions in Spain now. We are not -- we are focused 100%. I will say 110% in doing Popular integration and we roll out acquisitions in Spain, yes.
Operator: Thank you very much. The next question comes from Rohith Chandra Rajan from Barclays. Please go ahead.
Rohith Chandra Rajan: It's Rohith Chandra Rajan from Barclays. I'll most likely just follow up actually with a couple of questions on NII in Brazil and the U.K. So just to follow Britta's question, actually. So the loan yield in Brazil was up 23 basis points in the quarter after several quarters of sequential declines. It would be really helpful actually because that's quite a big step change to understand how much of that is makeshift and how much is kind of right-driven repricing pressures. So I guess, thinking about the outlook, particularly on the loan yield side. And then in the U.K., the loan yield was up a few basis points again. Having been in decline, particularly with the SVR repricing, do you now think that's pretty much done in the U.K.? And then, I guess, market expectations in terms of U.K. rate rises have been pushed back a bit, but when we do get a rate rise in the U.K., how do you think loan and deposit pricing would react?
José Antonio Álvarez Álvarez: I'm going to elaborate on the U.K. side and I pass to José to go into the details of the yield on loans and the deposit cost in Brazil that allow us to increase our NIM. In the U.K., all the comments I made before were done under the assumption that we're going to have one increase in rates, 25 basis points this year in the U.K., no more than 1. This will help a little bit on the net interest margin, not that much because the size of the increase is relatively small or the size of the increase we expect is relatively small. But the higher the increase in rates, the more positive impact because the bank -- the position of the bank is towards high rates. More on that, what we have seen in the market in U.K., we saw competitive pressure in the mortgage market at the end of 2017. That continues too at the beginning of this year. Now we're seeing in the last two months is becoming -- is stabilizing a little bit, yes. So this is what made us to think that we're going to have a relatively flattish NII for this year, naturally, with a small increase in rate, as I elaborate before. Now do you want to elaborate in Brazil, José?
José Antonio García Cantera: Yes. If you look at Page 36 of the presentation, in the section we spoke about Brazil, you can actually see the evolution of yield on loans and costs. Customer net interest margin was 8.4% in the first quarter of 2017. And in the first quarter of this year, it was 10.6%. At the same time, net interest rates have gone down to 13.75% in December '16 to below 7% in December this year. So this means that a repricing of liabilities and the change in the mix of liabilities where we actually substituted the more expensive letras financeiras, which is like the 3-year CDs for customer deposits, helped improve the cost of deposits, which again is now much more related to the actual interest rate and it should remain for the rest of the year. And the change in mix is what explains the fact that the yield on loans has remained flattish. When we look at each individual component, we are starting to see some margin compression. But because of the change in mix, more towards lending in the retail segment relative to corporates and GCB, explains why loans -- the yield on loans remains flattish. At the same time, we are seeing volumes picking up, obviously, as interest rates have come down significantly. We are seeing more volumes, particularly in retail, and that explains the very good performance that we see in net interest income. And as we mentioned, this is a trend that we would expect to maintain for the rest of the year.
Operator: Thank you very much. The next question comes from Ben Toms from RBC. Please go ahead.
Ben Toms: There was decline in U.K. deposits in the quarter. Can you just talk me through the drivers here, please? And secondly, in your presentation, you note volumes in Spain being hit by outflows in large companies and institutions. Can you elaborate a little more on that as well?
José Antonio Álvarez Álvarez: I don't have any deposits in U.K. Well, we'll come back to you and we'll elaborate on this because nothing in particular comes to my mind.
José Antonio García Cantera: The quarter is seasonality.
José Antonio Álvarez Álvarez: So while in Spain, naturally -- well, in the more -- we are [indiscernible] ition in February. The impact should be around 100 million in the year, in the whole year. So we are starting to see this. And I do expect the funding costs in Spain, both in Popular and Santander, getting reduced, particularly in the case of Popular. Some of the institutional and big accounts money, we are not paying for those deposits at all as we are running significant excess liquidity. And as a result of this, maybe some of these flows went out. But when we speak about, let's say, stable deposits or retail deposits, including in retail SMEs, somehow operational money from corporates, we are doing well. We are doing well in Spain. I'm pleased with the developments we are seeing in this regard.
Operator: Thank you very much. The next question comes from Marta Sánchez from Bank of America Merrill Lynch. Please go ahead.
Marta Sánchez: I've got three questions. The first one is on your ALCO strategy in Spain and Portugal. Are you replacing the bonds that you're setting? Are you building a healthy [weighted] portfolio? Are you worried about the effect they bring could have on Spain's credit spreads? And if you could provide an update on any of the sensitivity to moves in interest rates and credit spreads, that will be helpful. The second question is Santander Consumer. The cost of risk has doubled from last year. Is this a reflection of IFRS 9? Are you still benefiting from disposals of writeoff portfolios? Where do you see the recurring cost of risk here? And the third one is a follow-up on the mix shift in Brazil. How is growth in the consumer lending portfolios that you've mentioned affecting the structural cost of risk in the country?
José Antonio Álvarez Álvarez: Can you elaborate on the ALCO strategy?
José Antonio García Cantera: The ALCO, we right now have around 30 billion of ALCO portfolio in Spain. With a yield of around 100 basis points and an average maturity of three years, we have replaced -- we sold close to 10 billion. We've replaced already 4. Our idea is to have a sort of neutral -- gradually neutral impact on margins. And that's why we've been talking about a recovery of the net interest margin in Spain as the year proceeds. No major change there. I mean, it's -- the portfolio exists to cover interest rate risks. As interest rates go up, we are very positively geared towards higher rates in Spain. A parallel movement in the interest rate curve of 100 basis points would add approximately 800 million to 900 million to our net interest income in Spain.
José Antonio Álvarez Álvarez: Well, the second question was Santander Consumer Finance. It's true that last year, we disposed portfolios. This quarter, I think we haven't disposed writeoff portfolios and this affect the cost of risk. The cost of risk now is very low in Santander Consumer Finance, and we do not expect a change this year. If we see any change, will be for positive, yes. So as of today, recognizing that the current cost of risk is below the average across the cycle, but what we are seeing in the ground is still improving. So I expect that should do cost of risk in this business. And the portfolio disposals, well, we continue to be there, yes. So maybe next quarter or in the following quarter, we have some of these disposals, yes. So depends when we execute this because this is part of our policy. When it comes to Brazil, the cost of risk in the quarter, we reduced, as I mentioned before, one basis point. Naturally, we have different behaviour. The ECB portfolio is going down and keep going down, and we keep going down. The quarter was minus 20 basis points to 1.35 [ph]. While the retail portfolio was almost flat, minus one basis point FY '14, the retail portfolio. The slowdown of the cost reduction is more related with mix than anything else, yes. So if we go in more detail and we start to see inside the retail, what's going on with the payroll-based lending, with the credit card lending, with the -- and on a product by product, we continue to see good trends there. But overall, we are growing. It depends on the mix. The mix is what explained this variation is more than the overall trend that, as I said before, is good.
Operator: Thank you very much. The next question comes from Daragh Quinn from the KBW. Please go ahead.
Daragh Quinn: It's Daragh from KBW. A question on the outlook for profitability in the U.K. as loan losses normalize and this looks like the profitability would slip from the current levels. Is that just the way it's going to be or do you see anything you could do on costs or how would you offset that cyclical increase in loan loss charges? And just a follow-up question on the U.K. If there were no PPI charges this quarter, if you could just provide a little detail on those other provisions of around 60 million and what kind of numbers should we expect there for the rest of the year. And then just on Brazil, sorry to come back to this again. But just to be clear, you're saying the change in mix, the growth in retail is behind the margin loan yield's improvement. If that mix maintains that trend for the rest of the year, does it mean the loan loss charge is going to be higher than you'd guided to? Or are you saying you're expecting the loan loss charge to fall in subsequent quarters?
José Antonio Álvarez Álvarez: So U.K. loan losses normalization, well, in the U.K. -- so basically, we are having around 10, 12 basis points cost of risk. We do not expect a material change here, maybe events like the one we had at the fourth quarter last year. But other than that, we do not spend -- we do not expect a material change there. Our NPL's trend is still going down. So we are 1.17%, if I remember well, and went down in the quarter. So I don't expect any material development there. On the PPI, I already elaborate on this, that, well, we are comparing our '16 provision that is in the 300 -- above 300 million, 327 million. Monthly utilization in the first Q decreased from the 2017 average, in line with our expectations. The monthly utilization was 20 million last year and now is lower, and we think that -- well, as I said, we are comfortable with the current stock of PPI provisions. The second question was Brazil. Now I'm not meaning that we change our view in the arrangement with the cost of risk. Probably in the previous quarters, we talk about 4%, approaching 4%. We are now 4.35%. I think that is -- still is the direction of -- in which we are going. If we were, and I expect this to happen, growing in corporate and GCB, we will get there very rapidly, yes. So -- but until now, we haven't seen, to my surprise, a little bit growth in these segments, quite the opposite. We see a reduction in the lending to GCB, particular to GCB. While in corporate, we are relatively flattish but we are seeing better trends than the ones we saw last year.
Operator: Thank you very much. The next question comes from Andrea Unzueta from Crédit Suisse. Please go ahead.
Andrea Unzueta: I want to focus on the Spanish NII for a minute. You have guided in the past towards a loan growth for the year. But you've said today that the large corporates and institutional lending is actually coming worse than expected. Are you still expecting your loan book to grow? And then you have already talked about the ALCO. How -- and you also mentioned that there are some benefits from the funding costs going forward. So how should we think of the Spanish NII going forward?
José Antonio Álvarez Álvarez: So a couple of questions here. The loan growth for 2018, we were guiding you towards some growth. Probably still the case, depending on we're going to grow -- I expect to grow in all the consumer, SMEs and corporate-related lending to show 2% or 3% growth, of showing relatively flat is going to depend if we do large deals or not with institutions or with GCB. But in terms of revenue, it's going to be, in any case, marginal, yes. So the ALCO, José already elaborate on this. We reduced significantly the size of the ALCO portfolio, and we are confident and we are reducing the funding cost, both in Popular and Santander, and we are confident that we can reduce this. In NII, I already told you that we expect in the coming quarters the NII to improve because mainly the decline in funding costs and with volumes growing in the segments, I already mentioned to you, probably where it's more difficult to grow at this stage as in mortgages because of the high amortization we have. And GCB and institutional depends on our pricing. We are probably more demanding than the average at this stage in pricing in the high end of the market.
Operator: Thank you very much. The next question comes from Ignacio Ulargui from Deutsche Bank. Please go ahead.
Ignacio Ulargui: Yes, I have two questions. On one side on cost growth outlook for Brazil, wonder if you could elaborate a little bit on how do you see cost performing in Brazil going forward? And regarding litigation risk, on the Popular retail side, we have seen a number of press comments on ruling that have come out, whether we should expect additional other provisions there or this was already covered at the moment of the integration?
José Antonio Álvarez Álvarez: Growth in Brazil is related with -- we are growing the costs above the inflation. But when you analyze in deep the costs, where the costs are growing in relation with the activity, so we are gaining significant market share in acquiring business. We are gaining significant market share in credit card business. We are gaining market share in these costs as long as we grow these costs at maybe 2% or 3% above the inflation. But as I said, we have very high correlation with our capacity to gain market share and to continue to grow the business. So somehow you'll allow me to say in that way variable costs. Litigation risk, well, we've been quite vocal on this. We are not expecting any material litigation risk, I mean, out of Popular, different from the one we incorporate in our numbers at the time of the acquisition. So there's plenty of noise around this. The majority of the noise is related mainly with the resolution of the Banco Popular. That is not up to us. While in the other side, our commercial action that with the leveling of the -- of last year got 80% of a -- of the customer's asset, I will offer that the view is dramatically to pay down the litigation risk. So we are not -- nothing new to comment on this.
Operator: Thank you very much. The next question comes from Carlos Peixoto from CaixaBank BPI. Please go ahead.
Carlos Peixoto: Just a couple of questions. The first one would be a bit on the evolution of cost of risk in Spain, or basically, how do you see it evolving throughout the year? The second question would be if you could give us some color on how much was Popular's contribution to first Q results and then to net profit and then probably to NII, if you could share some light on that. And just the final question would be, how do you see the real estate division evolving, namely that of the cost base in this division now that the essential part of the assets has been sold? What should we expect going forward on this front? Should this progressively become 0 in the near term? How do you see it? How do you see this evolving?
José Antonio Álvarez Álvarez: The first question, cost of risk in Spain, I think around 30 basis points, yes. So both -- no big difference between Santander and Popular. I think around 30 basis points is what you should expect. The second question was about...
José Antonio García Cantera: Popular first quarter results.
José Antonio Álvarez Álvarez: The Popular first quarter results, you have this number in mind because, well, I don't know, you have -- we're going to publish a number for Popular, S.A. How comparable is this number? With the previous numbers, it is difficult to say, yes. So it's difficult to say. It's not comparable, yes, because the third quarter costs are not there. The GCB business was already integrated. So it's -- we can provide you the numbers, but I don't have here the numbers. But I will say overall, Popular business, I will say, is going as expected with very good trends in SMEs, that, as you know, is a critical business in which we are focusing in. And the integration is growing on track. The numbers, as we split the bank in several business already, we have won TotalBank. Popular Portugal was integrated in Portugal. Quasar, the real estate portfolio, was disposed. We reach agreements with the joint ventures. So it's very difficult. The comparison is very difficult. But in any case, you're going to have Popular numbers in the first Q. How representative those numbers are going to be, I will say very low representative. Real estate division, I don't know what -- well, what represent there is the numbers of the real estate division that, let's say, remain in the bank balance sheet. As to that, we have the stakes in Merlin, Testa, Metrovacesa and all the others and we continue to manage this. But in the real estate division, I expect the losses to come down and to reduce significantly the real estate division already this year. So I set and this is our target, there's no question there. We're going to reduce to dramatic real levels. We can do operations as the one we've done in the past so keep this -- for sure, we're going to keep disposing this as we speak. But the losses should come down and probably to be, I don't know if at the end of this year and next year, to disappear from the bank balance sheet.
Operator: The next question comes from Carlos Cobo from Societe Generale. Please go ahead.
Carlos Cobo: Carlos here. A quick one on NII in Spain. Again, I'm sorry to revisit, but could you explain how is the rolling of the lower cost of the 1|2|3 account? Is that fully reflected in the cost of funding already in the first Q or that will have a gradual phasing, just to understand NII dynamics in Spain? Quickly on SME pressure and price competition. As you said, it's still intense. Could you elaborate a little bit on how is the competitive landscape here? Because now that you control about 1/4 of the market, I would have expected you to have more of a strong pricing power. Why is it being difficult to control prices? Where is the competition coming from, if you could elaborate a little bit here? And finally, on this topic, are you seeing the central banks taking any steps to kind of inspect or monitor the pricing policies here as we saw the one in Spain in the past has said that they would monitor where the new pricing would do much in the cost of risk and all the required pricing components? That's it.
José Antonio Álvarez Álvarez: Okay. First question, NII in Spain, I already elaborate on this. The lower 1|2|3 you haven't seen in the quarter because we introduced it, if I am right, the beginning of March, yes. So I mentioned also that as a result of this reduction is like 100 million in a whole year, and this will come in the next quarter. But it's not only about this. I also mentioned that the funding costs in Popular are reduced at the same time. SME price competition, SME, as you know, the market is less transparent, down four other segments. It's not a commoditized market. We are not seeing -- probably there is some price competition, but we are not seeing the competition here being as high as it is in the mortgage market and in large corporates, I will say, where we see some competitors being similarly aggressive, particularly those with low market share in those segments. That makes sense for them to try and to gain market share. And for doing that, they are relative on pricing. With the last question, central bank, in relation with the pricing policies saying something, no, no, no.